Operator: Good morning and welcome to the LendingClub First Quarter 2016 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note that during today’s questions-and-answer session, participants will be afforded time for one question and one follow-up. However, you may re-enter the queue at any time. Please note that this event is being recorded. I would now like to turn the conference over to James Samford, Head of Investor Relations. Please go ahead, sir.
James Samford: Thank you and good morning. Welcome to LendingClub’s first quarter of 2016 earnings conference call. Joining me today to talk about our results and recent events are Hans Morris, Executive Chairman; Scott Sanborn, Acting CEO; and Carrie Dolan, CFO. Before we get started, I’d like to remind everyone that our remarks today will include forward-looking statements and the actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause these results to differ materially are described in today’s press release, the related slide presentation on our Investor Relations website and our Form 10-K filed with the SEC on February 22, 2016. Any forward-looking statements that we make on this call are based on assumptions as of today and we undertake no obligation to update these statements as a result of new information or future events. During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today’s earnings press release. The press release and accompanying investor presentation are available on the website at ir.lendingclub.com. Unless specifically stated, all references to this quarter relate to the first quarter of 2016 and all year-over-year comments are comparison to the first quarter in the prior year. And now, I’d like to turn the call over to Hans Morris.
Hans Morris: Thank you, James. So let me start out by explaining who I am and why I am on the call this morning. So, as James said, I’m Hans Morris, and I’ve been on the LendingClub Board of Directors since February 2013. And I served both on the Audit Committee and I’m Chairman of the Risk Committee. On Thursday, last week, I was named to the newly created role of Executive Chairman. So as you saw in the release, the Board accepted the resignations of Renaud Laplanche on Friday. And we are truly and very clearly saddened by his departure. We also believe LendingClub is in good hands with Scott Sanborn, who is our President and as of this week, our Acting CEO and the CFO, Carrie Dolan, who many of you know and our seasoned executive team. And I want to emphasize, Scott and Carrie and really most the management team have been together for many years at LendingClub as a team that knows what they’re doing. They’ve been executing successfully for a long time and therefore I’m confident, the Board is confident in the ability of the team to continue to build a great company. So let me talk about the loan sale issue and the issues which we talked about in the release and this issue was discovered internally and it was promptly escalated to the Audit Committee. And at the request of the Board, I led a sub-committee of the Board with the assistance of an independent outside law firm and other advisors and we reviewed among other things, certain non-confirming loans that were made to a single accredited institutional investor, totaling $22 million of near-prime loans, that was $15 million in March and $7 million in April. The loans in question were sold in contravention of the investors’ expressed instructions as to a non-credit and non-pricing element. And certain personnel, apparently who are aware that the sales did not meet its investors’ criteria. So in early April 2016, LendingClub repurchased these loans at par and we subsequently resold them at par to another investor. We also discovered during the investigation that a Senior Managers of LendingClub made a change in the application dates of approximately $3 million of these loans and that was also internally discovered and promptly remediated. The Board hired a Forensic Auditor to review all the loans that’s full paid in the first quarter of 2016 and we did not find any changes to any of date on any of the other first quarter loans. So key principle of the Company is maintaining a highest level of trust with borrowers, investors, regulators, stockholders, all our employees and while you might say the financial impact of this $22 million in loan sales was minor, it’s lesser than 0.6% of loans we originated in the quarter the financial revenue implications were very minor. A violation of the Company’s business practices, along with a lack of full disclosure during this review was unaccepted to the Board. And this is not something the Board will compromise on in any way. So materiality is not an issue. And accordingly, the Board took swift and decisive action and we unauthorized additional remedial steps to rectify the issues. And speaking for the whole Board, I say we’re confident in Scott and Carrie and the rest of our very seasoned management team and we do believe they’re well-positioned and the right people to lead LendingClub. So I know you have many questions, but we also want to talk about the results this quarter, which are excellent and we want to hand it over to Scott to talk about the business and then Carrie will go through the financial results.
Scott Sanborn: Thank you, Hans. Good morning, everybody. Clearly, this has been a difficult weekend for LendingClub’s family and friends and as Hans said, while the circumstances are unfortunate, I would like to reiterate my deep commitment and resolve to leading the team and to building our business together with our borrowers, investors, partners and employees. Our priority is to reaffirm our commitment to trust, compliance and risk management that have been so essential in the success of our online marketplace. We’ve talked in the past several quarters about the strength of the marketplace model with our diversity of investors and about our ability to respond in a rapidly changing credit and economic environment and this quarter’s results further support that thesis. Carrie will review the results of the first quarter, but before that, I’d like to focus some remarks on the quality of our credit performance and the evolution of our investor base. So let me start with a few comments on credit, we do provide a comprehensive set of credit and performance data monthly on our website. This quarter, we included in our earnings presentation some summary of recent data on slide 9. The data illustrates stable performance for grades A through C, which represents 75% of our standard program loan volume. For grades D through G, as we have previously shared, we have identified pockets of underperformance, which have been addressed through the following combination of pricing and policy changes. First, from December 2015 to April 2016, the platform increased interest rates for grades D through G by a weighted average of 220 basis points in order to improved risk adjusted returns for investors. And second, the platform credit policy was tightened to eliminate about 15% of under-performing segments from these grades. These population segments were mainly characterized by high indebtedness and increased propensity to accumulate debt and lower credit scores. As we’ve highlighted in the past, the ability to adjust platform interest rates based on economic conditions, credit performance or investor appetite is a key benefit of the marketplace model and we’re confident that the changes we have made provide attractive risk-adjusted returns to our investors and affordable credit to borrowers. So now let’s switch to trends in the supply of capital. The first quarter did present a challenging funding environment, driven primarily by two factors. First, concerns about economic growth and corresponding credit performance caused some pockets of capital to scale back their level of investment. And second, temporary disruptions in the capital markets stopped some of our investors from refinancing their portfolios and temporarily made some high yield bond investment more attractive. As an outcome of these two factors, third-party fund managers faced a high level of redemptions and capital from dedicated funds dropped from 45% to 32% of our platform and capital from non-bank institutional investors declined from 17% to 14%, but offsetting that decline, the good news is that banks and finance companies jumped from 21% to 34% of funding and self-directed retail investors increased from 17% to 20%. The strength of our self-directed retail registrations and investments in Q1 is consistent with our view that this group is less correlated with capital markets and that as volatility in equity markets increases, this group appears to respond by increasing their investments and LendingClub notes. We expanded the retail channel further this quarter with a new relationship with Millennium Trust and its technology-enabled trust solutions that will allow us to broaden our access to retail investors and advisers. And apart from new capital sources, we continue to benefit from reinvestments on the platform, the reinvestment rate over the last two quarters was over 85% and we ended Q1 with a total servicing portfolio of $10.2 billion, generating $1.2 billion of principal and interest payments. So in conclusion, all this strong – sorry, I’ll pass over to Carrie to review the results.
Carrie Dolan: Thanks Scott and morning everyone. As Scott noted, this quarter demonstrated the resilient shape of [ph] marketplace model. We are pleased with our results given the number of headwinds including the seasonality, economic uncertainty, disruptions in the capital market and some investor uncertainty. We believe our performance this quarter demonstrates the flexibility of our operating model and the resiliency we built in borrower channels and funding sources. Before reviewing results, I’d like to remind you that all year-over-year comments are comparisons to the first quarter and the prior year and all operating expenses discussed exclude stock-based compensation and depreciation and amortization. With that, let’s talk about the results. Total originations in the first quarter were $2.75 billion, an increase of 68% compared to last year. While operating revenue in the first quarter was $151 million, up 87% year-over-year. Revenue growth outpaced origination growth as revenue yields expanded to record highs this quarter. Our revenue yield, which is operating revenue as a percent of origination was 5.5%, up 29 basis points sequentially and 54 basis points year-over-year. The quarter-over-quarter increase was driven by 7 basis points from higher transaction fees, 14 basis points from higher servicing fees, collection fees and gains on sale of home loans and 9 basis points from a servicing asset adjustment. The 54 basis point year-over-year increase was driven by 9 basis points from higher transactions fees, 25 basis points from higher servicing and collection fee, 5 basis point from servicing asset adjustment and 17 basis points from gain on sales of home loans. Transaction fees, which are earned immediately after loan is originated represented 82% of operating revenues and totaled $124.5 million, up 72% year-over-year. Most of the 7 basis points transaction fee increase was due to pricing changes we implemented in March. On an annualized basis, the impact of these pricing changes add roughly 55 basis points to our transaction fees as a percent of originations. While we have seen some negative impact to conversion with these pricing changes in the first quarter, the lower conversion rate has been offset by higher fees. This price adjustment strengthens our margins ahead of potential economic softness, while also helping to offset some seasonally higher marketing costs, credit adjustments and increased issuing bank fees that were put in place to strengthen the programs – to strengthen the programs position under Madden. Going forward, we will continue to assess the impact of these pricing changes on conversion rates, customer satisfaction and credit quality which may result in further adjustments to these pricing changes. Servicing and management fees, which are earned over the life of the investments, totaled $26.8 million in the first quarter, up 212% from last year. Servicing and management fees as a percent of originations increased 45 basis points year-over-year to the 98 basis points, driven by higher relative growth in our servicing portfolio, higher sold loan volumes at inherently higher servicing rates, higher collection fees and as previously noted, a one-time adjustment to the value of the servicing asset. The servicing asset valuation adjustment, which incorporates future servicing revenue was driven by our collection fee pricing changes made last quarter. In the first quarter, our servicing portfolio which comprised of all the loans we serviced and includes loans that we sold, but continued to service reached $10.2 billion, up $4.6 billion or 83% from last year. Servicing and management fees as a percent of our average servicing portfolio and excluding the one-time adjustments, increased 5 basis points year-over-year to 19 basis points and were 1 basis point higher than the fourth quarter. We continue to benefit from favorable investor mix trends and collection fees. Details showing these trends are noted on page 26 in our earnings presentation. Other revenue grew $5 million from the prior year as a result of higher gains associated with selling loans at more favorable rates, which added 17 basis points to the year-over-year revenue yield expansion. Now turning to expenses, first quarter is seasonally the most challenging and this year was no different as you can see on slide 15. Sales and marketing expenses in the first quarter were $64.7 million, up $33 million a year ago. As a percent of originations, sales and marketing expenses were at 2.35% this quarter, which was 33 basis points higher than a year ago and 34 basis points higher sequentially. We estimate that roughly two-thirds of the sequential increase is due to seasonality which has become more pronounced as we’ve grown. The remaining one-third of the quarter-over-quarter increase is due to our business decisions, which includes increasing interest rates and fees and tightening our underwriting, all of which had a negative impact on conversion and acquisition costs. Origination and servicing expenses in the first quarter were $18.5 million, up from $11.6 million last year. As a percent of originations, origination and servicing expenses were 4 basis points lower than last year and were 1 basis point higher quarter-over-quarter at 67 basis points. As we shared last quarter, our technology investments in automation and scale provided significant margin leverage year-over-year. In the coming quarters, we expect origination and servicing as a percent of originations to increase by roughly 10 basis points, as the full impact of the issuing bank loan trailing fees takes effect. On a dollar basis, our contribution income in the first quarter was $68.1 million, up 87% year-over-year. Contribution margin as a percent of operating revenues were flat year-over-year at 45% and down 3.9 points sequentially, driven primarily by higher sales and marketing costs. In Q1, engineering and product development expenses were roughly flat sequentially at $16 million, resulting in a 160 basis points of operating leverage as a percent of operating revenues, which was expected to dropping to a low of 10.6% of revenues. Other G&A expenses increased $2.2 million sequentially this quarter to $25.2 million, as a percent of operating revenues other G&A dropped to 16.7%, down 3.6 percentage points from 20.3% in the prior year, which helped improve our leverage this quarter. Adjusted EBITDA for the quarter came in at $25.2 million, up 137% from the prior year, while our adjusted EBITDA margin was 16.7%, up 3.6 percentage points year-over-year. Adjusted net income, which is GAAP net income excluding stock-based compensation and acquisition related expenses, was $20.9 million or $0.05 per diluted share during the first quarter versus $7.7 million or $0.02 per diluted share in the same period last year. Our GAAP net income was again positive at $4.1 million or $0.01 per diluted share, compared to a loss of $6.4 million a year ago. The difference between GAAP and adjusted net income is primarily due to stock-based compensation, which increased $3.4 million year-over-year to $15 million. Stock-based compensation as a percent of operating revenues, declined from 14.3% last year to below 10% for the first time this quarter. Now turning to the balance sheet, as of March 31st, total balance sheet assets reached $5.9 billion, of this $4.7 billion is in loans, $868 million is in cash and securities available for sale and the remaining $364 million is in other assets. During the quarter, LendingClub repurchased $19.4 million of our common shares in the open market or 2.3 million shares and has $131 million remaining under its authorization. As Scott noted, our strong financial performance this quarter is rightfully overshadowed by recent events. In the first quarter of 2016, we identified two events that resulted in material weaknesses in our internal controls over financial reporting and the ineffectiveness of our disclosure controls and procedures. The circumstances that underlie these material weaknesses are; first, the $22 million sale of non-conforming near-prime loans and the alteration of application dates for $3 million of those near- prime loans. And second, a failure to inform the Board’s Risk Committee of personal investments held in a third-party fund, while the Company was contemplating an investment in that same funds. We currently do not believe that any of these circumstances individually or in the aggregate have any impact on our reported financial results. In light of the event shared today, we believe it is prudent not to provide quarterly or annual guidance at this time. We do intend to resume guidance once we have time to fully assess the impact of today’s news. So with that, let’s open up the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our next question will come Scott Devitt of Stifel. Please go ahead.
Scott Devitt: Hey and thank you. I had more than one, but I’ll keep it to two. First, Hans, can you talk a bit about the procedures that are now in place to assure the material weakness in internal controls related to the loan sales cannot happen again? And then secondly, for Scott, could you talk a bit about how you feel about the ability of the leadership team to continue to execute on that vision and roadmap of the Company, as well as managing through an evolving regulatory landscape?
Hans Morris: I think that the, important thing about our procedures is, we discovered this problem. And I think that we have – there is definitely things that were went through our review, things that we can improve and we have those – we’re taking those steps now. So we are confident, actually, that there is no chance that loan date could be changed and we also are – we are managing our internal processes to assure that investors always get the loans as they were quickly getting. So we have lots of other internal control procedures, by the way, I think we have a strong Audit Committee function, have a good internal audit function and lots of controls, but we will also be, I think, comprehensively looking at everything and make sure that there aren’t any other areas where we might want to make adjustments to assure and complete integrity of loan platform and financial statements, but I want to emphasize that this is something that we discovered, we promptly investigated it and then we took a very decisive clear action and that’s what good controls are all about.
Scott Sanborn: Okay, so the question on my confidence in the team, this group has been working together with myself, Carrie and Jason for over six years. So this is the core team that helped build this business and build the track record that has gotten us to today. So I’m very confident and especially in combination with the support of a truly stellar Board of Directors.
Operator: Thank you. Our next question will come Vasu Govil of Morgan Stanley. Please go ahead.
Vasu Govil: Hey, thanks for taking my question. I guess to start off, how much do you think an impact this incident will have on investor trust and for instance, as the investor questions that investing on the platform, can just talk about your expectations there?
Hans Morris: Yes, I mean, this is all obviously very new and our number one priority is to be reaching out to our investors and working closely with them over the coming days and weeks. So we’ve been encouraged by a variety of conversations that we’ve had, but clearly this is as bigger news for them as it does for us internally. So, that’s something we need to be focusing on.
Vasu Govil: Got it, and just a quick follow-up. Just broadly, the slowdown you’re seeing in the credit markets, have you started to see a stabilization on that yet and do you anticipate needing to retain the loans in the balance sheet if markets remain soft?
Carrie Dolan: Relative to the credit, just to clarify, there we have – as we’ve shared, previously there has been pockets of credit issues that we’ve made adjustments on relative to investor funding and looking at balance sheet of loans, I mean we – again, to Scott’s point, we have up to kind of the result of this news then through the quarter, through the first quarter had experienced some level of investor softness. We had a number of ways to adjust the resiliency of using banks and the retail side. As we go in now and try to assess the impact with this news today, we’ll continue to adjust. We absolutely love the marketplace model and certainly there may be times where, in limited situations, we’ll have used the balance sheet for customer accommodations or temporary dislocations in funding, but we still feel very committed around maintaining the marketplace model to connect investors and borrowers on both sides.
Operator: Thank you. Our next question will come from Heath Terry of Goldman Sachs. And please go with your question.
Heath Terry: Great, thanks. Just on the performance trends that you discussed on Slide 9, can you give us a sense, are there any trends within that D and G grade loans where you’re seeing the increase in charge-offs? Any sort of similarities or whether it’s verticals, obviously energy is one that comes to mind that’s potentially driving – that’s not me, driving that increase in charge-offs?
Hans Morris: So we have looked at for example, some of the regional differences, including in the energy dependent regions and have actually made some specific adjustments to policy in those areas, but that’s not the major contributor.
Heath Terry: Okay. Can you say what the major contributor is?
Hans Morris: Yes, as indicated, the pockets really revolved around a group of the population that had high indebtedness at the time they took out the loan showed a propensity to continue to build debt thereafter and also at the time of the loan had low credit scores.
Scott Sanborn: One thing to just reiterate, sorry on that is, credit is obviously organic. This is something we’re looking at very closely on a monthly basis, so these adjustments are really part of an ongoing optimization of the model.
Operator: Thank you. And our next question will come from Bob Ramsay of FBR. Please go ahead.
Bob Ramsay: Hi, good morning. I just wondered if you could comment on whether the split of the Chairman and CEO roles is a permanent change or whether it sort of depends on the CEO search? And then comment as well on any severance that we should expect from the departure of the three senior managers?
Hans Morris: This is Hans Morris. There is no severance for any of the part of executives and the Chairman and CEO position, I think the Board will evaluate that over time. And we have not yet decided to undertake a CEO search, as I said, we have a lot of confidence in Scott and – but we – the Board also – we made these decisions over the last couple days and so we want to be measured in the way we think about that. So that’s all I can say at this time.
Operator: And our next question will come from John Coffey of Susquehanna. Please go ahead.
John Coffey: Hi, thank you very much taking my call. I was wondering, based on today’s results, is there any change to your 2016 guidance, either with the EBITDA margin or revenues?
Carrie Dolan: Yes, at this point, we – just given the events that just happened, we aren’t providing guidance and that covers both the outlook for what second quarter would look like and the outlook for the year. Certainly, as we get time to digest these events and understand the impacts, we will resume guidance.
Operator: And our next question will come from Carl Norberg of Craig-Hallum. Please go ahead.
Brad Berning: Hi, it’s actually Brad Berning. Given that everybody is trying to figure out outlook type questions, two more current events. One, can you update us on how April look from a volume standpoint and from a revenue recognition standpoint? And second, can you talk about the recent securitizations, has there been any discussions over the weekend about whether this impacts that and your interest in continuing to sell loans to that investor, given the circumstances have come to light?
Hans Morris: So, the – couple of things relative to the first quarter, first is we shared – we did experience a level of seasonality that happened first on the borrower side. And as I shared, was a bit aggravated by some of the adjustments we made on pricing and interest rates and also the adjustments to reduce the credit box a bit. That did create some headwinds and say that the normal timeframe late March into April, we tend to see a more kind of a return to more normal patterns and that certainly was the case on the borrower side. As the quarter progressed, first quarter, the level of investor softness there has carried somewhat into April. But, at that stage, kind of commenting further around where we think that softness will go relative to what have been kind of trend, pre-announcement of our news today, that’s really what gives us pause, to kind of give more guidance on what will happen in the future. With regards to the securitizations and potential up there, similarly to, this happen so quickly. We need a little opportunity to talk with all of our investors and we have already begun our reach out to investors to really understand and help them understand our situation, but also walked them through. So, we anticipate this will take – this will be a bit slowed as we assess over the next several days and weeks, the impact that would include the securitizations that were contemplated.
Operator: And our next question will come from Joseph Huber of Credit Suisse. Please go ahead.
Joseph Huber: Yes, could you tell me in addition to Renaud, who are the other senior people that have resigned?
Hans Morris: This is Hans Morris, unfortunately we can’t, we’re not going to disclose the other executives.
Joseph Huber: Well, then, maybe ask another follow-up question as an investor. Who would be the point of contact then for the LC Funds going forward?
Carrie Dolan: So, specifically on LC Funds we have a number which is within our investor team, so – and it becomes very investor dependent. So what I would recommend there is that, if you email us, we can specifically put you in contact with one of our representatives.
Operator: Thank you. Our next question will come from Michael Tarkan of Compass Point. Please go ahead.
Michael Tarkan: Thanks for taking my question. Just regarding the $22 million, is there a recourse back to LendingClub for those loans or other loans that institutions have invested in?
Carrie Dolan: So, the $22 million of loans, just to spend a minute on that, as shared, once that was identified, we went to the buyer and essentially shared with them that these loans didn’t meet their criteria and we bought them back at par. We did that in April. You’ll see in our financial statements, we actually have reflected on our balance sheet, there is $22 million that we have on the balance sheet as of March 31st, and with an offsetting entry as a secured borrowing, which will be an unusual item that you’ll see – or new item, I should say, sitting on the face of the balance sheet. Given that these loans were – they did not have issues relative to credit underwriting, pricing, they just had a characteristic that this particular buyer didn’t want, we turned around and were able to sell those loans to another credit investor in April and did so at par. The gain that we would have recognized was just roughly $150,000 gain on sale from the first sale was reversed at March 31st, and effectively the gain from the next sale would be represented in the second quarter financials.
Michael Tarkan: And then on slide 9, you have a bullet in there saying you’ve eliminate 15% of loan volume from credit policy. Is that 15% of D through G loans or is that overall 15%, I believe the number was 5% in the 8-K a few weeks ago.
Hans Morris: It’s D through G loans.
Operator: Thank you. Our next question will come from Stephen Ju of Credit Suisse. Please go ahead.
Stephen Ju: Hey Scott, Carrie. So obviously things are changing pretty rapidly right now and I would imagine you’ll be talking to your investors in the coming weeks and months. So, what do you think needs to happen from, I guess, a nuts and bolts perspective to, I guess, restore confidence where needed? Do you think there needs to be additional disclosure or what do you think needs to happen?
Carrie Dolan: So, Steven, one of things that we would emphasize here is that this is a very isolated event. As Hans shared, the Audit Committee and a review of this, we looked for kind of across the current quarter and in prior periods for other evidence for the issues that were found and so first, to reemphasize taking swift and decisive action around that very specifics of what we found, which we hope helps signal to the market that we take this very seriously and are looking for not having this happen again obviously. The second issue, though, that’s really important to emphasize is that the credit and the process around these loans are sound and these assets continue to perform and it’s certainly why we expanded disclosure a little bit this quarter on just the quality of the loan and with the credit and underwriting looks like we have and will remain cautious around the environment and as we continue to see changes in unemployment or economic softness, we will continue to make credit adjustments going forward. That said, we know that we have a lot of work ahead of us to just have one-on-one conversations with investors. And we are all incredibly proud because internally over the last couple of days as this news unfolded, we’ve had so many folks within LendingClub kind of ready to have conversations today and really tried to walk folks through and help them digest the information as well and so we will be reaching out to and have already reached out to numerous investors, partners and we recognize that this will just take time as we get information out there and get folks comfortable that this was isolated and that the core business and fundamentals of the business is sound.
Hans Morris: I’ll just add. What do we need to do? We need to communicate with our investors and continue to be incredibly open and transparent and the question we have for them is what did they need from us and we stand ready to provide that.
Operator: [Operator Instructions] The next question will come from Chris Gamaitoni of Autonomous Research. Please go ahead.
Chris Gamaitoni: Thanks for taking my call. Could you provide some – maybe some color on the significant quarter-over-quarter increase in bank and finance company fundings? Is that an investment bank, retail commercial banks, one large buyer, many more buyers, just kind of any additional color would be great.
Carrie Dolan: So this quarter we wanted to give certainly a little bit more visibility into Bank funding and we have been working for quite some time as we’ve been talking about or a while around deepening our relationships with banks and banks are really kind of long-term investors and the stickiness of how they view this asset is apparent in terms of both the way that the quarter unfolded and so certainly this was part of what we have been saying and through GAAP, further first quarter, ultimately in the first quarter we had $947 million in funding from banks, which as you can see in the earnings deck has significant increase and steady increase in our source of funding.
Chris Gamaitoni: Right. With the quarter-over-quarter increase a bunch of banks buying more or one new large relationship, I’m just trying to figure out how that transpired from your markets?
Carrie Dolan: Yes, we continue to diversify in the number of banks and we continue to have banks buy more. So it’s a mix of both.
Operator: Thank you. Next question will come from Michael Tarkan of Compass Point. Please go ahead.
Michael Tarkan: Thanks. Just a follow-up on the application date changes. Can you just provide a little more color on that? Did somebody move the application dates up to make the loans come through in the quarter or just a little more color on that would be helpful.
Hans Morris: I think what they did is they made the change to make them eligible for this purchase by the institution that we referenced. And it was a relatively minor change, but any change in books and records obviously is a very serious issue. And we actually – people will obviously ask this, we went and we checked has those elements ever been changed before in any loans. We checked and haven’t found. So we’ve actually – we think we understand what happened, why it happened. But that’s I think all we got to say at this point on the investigation.
Operator: And ladies and gentlemen, this will conclude our question and answer session. I would like to turn the conference back over to Scott Sanborn for his closing comments.
Scott Sanborn: I recognize, we’ve given everybody a lot to digest this morning. I hope we’ve answered many of your questions, but I’m sure you’re all going to have more in the days and weeks ahead. LendingClub is always operated with transparency and it is our commitment to do so going forward. And so our intention is to schedule as many investor meetings as we can in the next few weeks. In the meantime, if you have questions, please don’t hesitate to reach out to me, James or Carrie. We thank everybody for their confidence and support.
Operator: Ladies and gentlemen, the conference has now concluded. Thank you for attending today’s presentation. You may now disconnect your line.